Operator: Good morning. My name is Adam, and I will be your conference operator today. At this time I'd like to welcome everyone to the Anixter International Second Quarter 2019 Earnings Call. All lines have been place on mute to prevent any background noise. [Operator Instructions] Kevin Burns, SVP, Investor Relations and Treasurer, you may begin your conference.
Kevin Burns: Thank you, Adam and welcome to Anixter's Second Quarter 2019 Earnings Call. With me to review our financial results are Bill Galvin, President and CEO; and Ted Dosch, Executive Vice President and CFO. Following our prepared remarks, we will take your questions. Today's presentation includes both GAAP and non-GAAP financial information, which are reconciled in our earnings release and accompanying the slide presentation which are available on our website at www.anixter.com. During our comments today we will be referencing these slides. We believe the non-GAAP measures we disclose provide the best representation of our ongoing operational performance. Before we begin with our prepared remarks I want to remind everyone that we will be making forward-looking statements about future results, which are subject to a number of factors that could cause Anixter's actual results to differ materially from what is indicated here. We do not undertake to update these statements and refer you to our SEC filings for more information. With that, I will turn the call over to Bill.
Bill Galvin: Good morning and thank you for joining our second quarter 2019 earnings call. This morning I will begin with an overview of our second quarter financial performance, including sales and gross margin trends. I will then turn the call to Ted to review our financial performance in more detail and provide additional thoughts on our outlook for 2019. As we have stated, our long-term strategy is to deliver above-market sales growth in the markets we serve while expanding our gross and operating margins to continue sustainable earnings growth. We have been achieving this by bringing our comprehensive solution capability to all our customers and providing a best-in-class customer experience enabled by our investment in digital innovation and business transformation. As you saw from this morning's release, sales in the quarter increased 5.8% to $2.3 billion, which is the highest quarterly sales in our history. Our strong sales performance was driven by record sales in all segments. Organic sales, which are adjusted for acquisitions, copper and foreign exchange, increased by 6%. This is the fifth consecutive quarter with organic sales at or above 5%. This organic growth was above our outlook range of 3% to 5% driven by our NSS segment, with strong growth in global accounts and security, and utility customers in our UPS segment. In addition to strong sales growth, we delivered year-over-year improvement in gross margin for the third consecutive quarter driven by actions we have implemented across the business. This reflected excellent execution by the team and is evidence of the value we continue to provide to our customers. The organic sales growth in Q2 of 6% was lower than the 8% we delivered in Q1, but as we said on our last call, our second quarter was more difficult comp. The two year cumulative growth for Q2 of 10.9% compares to a two year cumulative growth of 9.3% for Q1. Overall, second quarter 2019 GAAP earnings per diluted share was $1.86 and adjusted earnings per diluted share increased 34% from prior year to $2.05. Now let me turn to gross margin on Slide 7 of our presentation. As we've discussed on the last two calls, we have implemented long-term strategies across the business to more fully recover inflationary price pressures over the last 18 months. Second quarter gross profit improved 7% to $450 million, resulting in gross margin of 19.9%, an increase of 30 basis points year-over-year. This increase is the midpoint of our outlook of 20 to 40 basis points for the full year. We believe gross margin expansion continues to represent a significant opportunity. Let me now review our sales results by segment, beginning with Network & Security Solutions on Page 11 of the slide deck. Record NSS quarterly sales of $1.2 billion increased 8% on an organic basis. Growth was broad-based, including in our strategic sales initiatives. These areas include global accounts, complex integrated supply programs and our security, wireless and professional audio/ video business. We had strong growth with global technology companies and with service providers and global accounts in Emerging Markets. This is the fifth consecutive quarter of organic sales growth for NSS. By region, NSS North America sales increased 6% on an organic basis, driven by growth in both security and network infrastructure as well as strength in our wireless and professional A/V initiatives. In a EMEA NSS sales decreased 12.5% on an organic basis due to macro economic issues including uncertainty around Brexit. In addition, Q2 was a very difficult comp for our EMEA business as 2018 results grew 17% organically due to strong global account project activity. The Q2 two year cumulative growth for NSS EMEA is 4% we do, however, see improving pipeline and project trends for the second half of the year, especially in the UK and Middle East. Emerging markets sales increased 34% on an organic basis, with strong growth in both CALA and APAC. The growth in CALA was broad-based, with strength in all major countries and continued strength of the existing new service providers of global accounts in the region. Turning to the security side of the business, sales of $525 million or approximately 44% of the segment increased 14% driven by strong organic growth of 9% and the acquisitions completed in Q2 of 2018. Booking activity and backlog continues to build, especially with our global customers and continued strong project activity. Moving to Electrical & Electronic Solutions on Slide 13. Record quarterly sales of $607 million increase 2% on an organic basis. This is the seventh consecutive quarter of organic growth for EES. Looking at EES by region. North American sales increased 4% on an organic basis as growth in North American commercial and industrial business was offset by declines in the OEM business. The OEM softness was consistent with the decline in global manufacturing activity that we are seeing around the world and as seen in decelerating PMI, durable bid/orders and other key macro indicators, especially in semiconductor and automotive industries. In EMEA EES sales declined 6% in an organic basis. We saw a decline in both C&I and OEM businesses in Europe and the Middle East. In emerging markets EES sales decreased 4% on an organic basis with declines in both CALA and APAC. Backlog declined from Q1 level as this is the business that is facing the deceleration of global industrial manufacturing activity affecting our OEM businesses and in macro economic activity in Europe. While the EES business is down from Q1, it is still roughly flat with Q2 2018. Finally, our utility power solution segments achieved quarterly sales of $456 million resulting in 5% growth in an organic basis shown on Slide 15. This represents the tenth consecutive quarter of growth for this segment. Growth decelerated sequentially but was against a more challenging Q2 comp from a year ago. The two year cumulative growth of 11% in Q2 compares to 12% in Q1 growth was broad-based, with strong sales results in both IOU and public power and across U.S. and Canada. The IOU business achieved strong growth with existing customers, while public power continues to build its base and has strong project activity. The fundamentals of this business continued to look solid in both the U.S. and Canada and backlog was largely flat in Q2. However, as we look at the remainder of 2019 we expect to see some deceleration in the year-over-year growth rates as Q3 and Q4 represent challenging comparables from 2018 with growth rates of 8% and 13% respectively. To summarize, our strong second quarter sales performance reflected good execution by the team and benefited from a relatively stable economic backdrop. We achieved organic growth in all segments in all geographies with the exception of EMEA. Our market data indicates that we maintained or gained share in all major businesses. As we look to Q3 and the rest of 2019 the demand backdrop continues to be generally positive in all our businesses and backlog is up mid-single digits over last year. We do, however, continue to see weakness in the OEM business, which is tied to the industrial manufacturing activity in our EES European business. This is some concern as key indicators have decelerated in recent months and we see signs of slowly manufacturing activities for industrial capital goods. In addition, while backlog showed strong growth in Q2 in our NSS segment, we saw flat backlog trends in EES and UPS for the quarter. While we are concerned about some of the broader political and macro-economic uncertainty including ongoing trade tensions between U.S. and China, we remain cautiously optimistic that our overall positive trends will continue for 2019. We do not see any meaningful risk to our business from additional tariffs that may be levied on Chinese imports only a small portion of the products we purchase are directly imported from China, less than 1%. For us the bigger impact has come from our suppliers who import from China and then pass those costs along to us as price increases. However, we have been mostly successful in passing the tariff-related price increases along through our customers and we expect to continue to be able to do this if additional tariffs are put in place. Based on our strong first half of the year, the generally solid trends we are experiencing and the success in our focused sales initiatives tampered by unknown uncertainties in the external environment, we are increasing the lower-end of our range for outlook of 2019 of sales growth of 3.5% to 4% and reaffirming the upper-end of the range at 6%. After adjusting for copper and foreign exchange, our organic sales growth range is 4.5% to 6.5%. With that, let me turn the call over to Ted for a more detailed analysis of our results and our outlook for the third quarter of 2019,
Ted Dosch: Thanks Bill, and good morning everyone. Bill covered our strong sales and gross margin performance, so I will begin with a look at operating expense. Looking at Slide 8, second quarter operating expense of $344 million compares to the prior year operating expense of $348 million. Excluding the non-GAAP operating expense items detailed on Page 11 of our release, adjusted operating expense increased 4% or $12 million to $335 million. As a percentage of sales current quarter adjusted operating expense improved 30 basis points to 14.8%. The primary drivers of the increase in adjusted operating expense were $5 million related to the acquired companies, $5 million related to our digital innovation and business transformation initiative as well as volume related costs associated with our 6% sales growth. However, we were able to offset these increases with sales and back office productivity gains and the benefits from warehouse consolidations and automation to decrease adjusted operating expenses as a percentage of sales by 30 basis points. Sequentially adjusted operating expenses were flat and decreased as a percentage of sales from 15.9% to 14.8% as we leveraged our expense base to support the 7.3% sequential growth in sales. Adjusted EBITDA increased by $22 million to $129 million due to strong volume and margin improvement in the segments along with strong expense discipline. Adjusted EBITDA margin of 5.7% increased 70 basis points from 5% in the prior year. Adjusted EBITDA leverage for the quarter was 3.4 times due to the factors mentioned above. We do not think these high levels of operating leverage are sustainable and we will be making additional investments in head counts along with further investments in our digital innovation initiative in the back half of this year to support the expected continued strength in the business. Details of operating income and adjusted EBITDA by segment can be found on Slides 12,14 and 16 in our presentation. Moving down the income statement, interest expense of $19 million was flat with the prior year and other net expense of $750,000 compared to $3 million in the prior year quarter. Turning to taxes our second quarter, 2019 U.S. GAAP effective tax rate or ETR of 25.8% compares to 29% in the second quarter of 2018. And our adjusted ETR of 25.7% compares to 29.1%. The lower ETR is due to country mix of earnings which reflects our continued movement to a U.S. center led model where we drive strategies to achieve global network synergies, which are even more attractive due to the recent U.S. tax reform. Our year-to-date GAAP ETR is 27.6% and adjusted ETR is 27.3%. We expect the full year rates to be consistent with this. Moving down to EPS. Our adjusted diluted earnings per share of $2.05 increased by 34% or $0.52 per share from the year ago quarter. As we discussed, we experienced both copper and currency headwinds in the quarter. The $27 million impact on sales translates into an $0.08 unfavorable impact on diluted EPS. The lower tax rate in the quarter contributed an $0.11 per share of benefit, $0.06 related to Q2 and $0.05 associated with the Q1 catch-up. Excluding the impact of the lower tax rate, our reported 34% increase in adjusted EPS would have been 27%. Our diluted share count is 34.2 million shares. Looking ahead, we would expect our share count to be relatively flat for the remainder of 2019. Turning to Slide 17, our working capital ratio of 19.2% compares to 18.7% in the prior year quarter. This 50 basis point increase was driven by working capital investment to support the growth in complex programs and projects in the business. We would expect full year working capital as a percentage of sales to be plus or minus 18% consistent with our long-term goals. We use $63 million in cash flow from operations year-to-date, which compares to $69 million generated in the comparable period of 2018. The year-over-year difference was primarily due to a larger use of working capital to support the business. Finally, we invested $8 million in capital expenditures in Q2, which brings our year-to-date total to $14 million compared to $25 million in 2018. The lower year-to-date expenditures compared to last year is mostly due to the timing of major project spend. We still expect full year 2019 CapEx of $55 million to $60 million. Turning to Slide 18, our debt-to-adjusted EBITDA ratio of 2.9 times compares to three times at year-end 2018 and is at the high-end of our target range of 2.5 to three times a year. Our weighted average cost of borrowed capital of 5.3% compares to 5.1% in the prior year quarter. And our liquidity position remains strong with total available liquidity under revolving lines of credit and secured accounts receivable and inventory facilities of $547 million at the end of the quarter. Turning to our outlook for sales growth. As Bill said, our outlook range for full-year 2019 is growth of 4% to 6%, which translates into organic growth of 4.5% to 6.5% and reflects a 50 basis point increase in the low-end of our range compared to our previous outlook. Based on trends in the business for the month of July and supported by generally favorable but decelerating economic indicators, we are estimating third quarter 2019 sales growth to be 2% to 4% and organic growth to be in the 2.5% to 4.5% range. This outlook is for lower growth than we delivered in Q1 and Q2 but has a more difficult prior year comp. The two year cumulative growth outlook for the second half of the year is 10.5% compared to 10.1% in the first half of the year. We are confident that the positive momentum we have seen in gross margin for the last three quarters will continue and we expect gross margin to improve for the third quarter and the full year by 20 to 40 basis points from 2018 results. Turning to operating expense, for the full year we expect adjusted operating expense as a percentage of sales to increase slightly. We have implemented tight cost controls to help offset the increased operating expenses for our digital innovation and business transformation programs. Looking at the third quarter, we expect our adjusted operating expense dollars to increase by $5 million to $10 million over Q2 due to expected sales and operations head count additions to support growth in the business and increased investments in our digital innovation initiative. As we have previously commented, the investments in our innovation and business transformation can vary from quarter to quarter and we're expecting more spend in Q3 than we saw in Q2. With our gross margin actions and expense control efforts, we expect 10 to 30 basis points of adjusted EBITDA improvement this year with further increases next year and beyond towards our long-term goal of 6%. To further help with your modeling, we have provided our estimates for the impacts of currency, copper and acquisition on third quarter and full year 2019 sales on Slide 19 of today's presentation. And we have included estimates for operating expenses, interest expense, other net expense and ETR for Q3 on Slide 21. Looking ahead, we expect to generate $95 million to $115 million of free cash flow for year 2019 consistent with the outlook we provided last quarter. We expect to generate cash flow from operations of $150 million to $175 million for the full year 2019 and to invest $55 million to $60 million in capital expenditures in 2019. Based on the current value of the U.S. dollar against other currencies, we estimated sales headwind of $5 million to $10 million for the third quarter and a headwind $50 million to $55 million for the full year. Based on recent copper prices of approximately $2.70 per pound, we estimate unfavorable sales impacts of $3 million to $5 million in third quarter and $15 million to $20 million for the full year. As a reminder, average copper price is $2.73 in the third quarter of 2018 and $2.93 for the full year of 2018. Finally, there will be no incremental sales impact from the acquired businesses in Q3 as those businesses were acquired in Q2 of 2018. The sales impact for the full year is $48 million reflecting the incremental five months of ownership in 2019. Let me conclude my comments by reiterating that we were very pleased to deliver strong sales growth in the second quarter. We believe our differentiators of global reach, technical expertise and supply chain excellence provide a competitive advantage and position us for strong growth into the future. We delivered on our additional priorities of improving gross margin and increased earnings in the second quarter. We are pleased that we are continuing to see the benefits of the actions we have implemented. We are continuing to progress with our digital innovation and business transformation initiative, which will deliver state-of-the-art, customer facing technologies and best-in-class enterprise efficiencies. We expect our investment in innovation to deliver significant long-term benefits with the goals of improving profitability, increasing cash flow from operations and creating value for all of our stakeholders. With that we will now open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question does come from David Manthey of Baird. Please go ahead.
David Manthey: Thank you. Good morning guys. So first off, last quarter, emerging markets in NSS you said, might not be sustainable all year at these high growth rates but should remain positive and you said it was based on new and existing customers as well as ongoing and project work. You obviously had another very strong quarter there. As the comps get tougher in the back half, do you assume some kind of deceleration there? I'm just checking again to see if there's any kind of project work or something that you might think would peel off in the back half.
Bill Galvin: Yes, Dave, I think we'd say that the business will remain strong, but against the comps you'll see a kind of decelerating growth. But we still expect it to be relatively good, and it's on the backs, again, of the supply chain and services business that we've been driving as well as global account activity, which remains strong, and the pipeline still looks good for us.
Ted Dosch: Yes. And I think the other thing to add to that, Dave, is a large portion of this year-over-year growth is due to what you've heard us refer to over the last couple of years as complex programs as opposed to just projects. And these programs are typically multiyear contractual agreements. So the comps will get more difficult in the back half, as Bill talked about, but we don't see any significant drop in that revenue due to timing of projects.
David Manthey: Okay. That's good to hear. And second, on operating expenses. Ted, you mentioned additional investment in head count and digital in the second half would drive that number up, the SG&A number, by maybe $5 million to $10 million. But if I look at flat SG&A percentage of sales for the full year, that would imply maybe another $10 million in the fourth quarter. Is that how to think about it, we should see an additional ramp in the third and in the fourth quarters?
Ted Dosch: Yes. I – at this point in time, I'm not sure we have that much of an increase in Q4. But the numbers that we talked about there for Q3, keep in mind, that's not just the investment in our innovation and business transformation, but it's also to support the significant organic growth that we had. And Bill can elaborate on that in just a second. But as you might imagine, with these levels of growth that we've seen in the top line, we've really stretched the organization to support that type of top level performance.
Bill Galvin: Yes. And to add to that, as we mentioned, and Ted said it too, we can't expect to continue to get that kind of leverage of 3x on the business. So we are investing in sales and capability resources for customer acquisition and revenue. So we expect that to be feathered in throughout the rest of the year.
David Manthey: That’s great, guys. Thank you.
Bill Galvin: Thank you.
Operator: And your next question comes from Michael McGinn of Wells Fargo. Please go ahead.
Michael McGinn: Good morning, gentlemen. I just wanted to follow up on the security growth to-date. Based upon what we're seeing in the market, our checks that's above the market growth, you mentioned share gains. Can you just comment where you guys are winning? And is Inner Range playing a large part in that?
Bill Galvin: Yes, Michael, it's a good question. Yes, we think we are achieving above-market growth and we think it has to do – kind of a combination of things. Lots around the strategy of how we're going after the market and where we've made investment, I think the global accounts business and global support with customers on solutions around the world is also a big driver of that. So I feel like it's strategy-driven. I think the Inner Range as well as the distribution businesses we acquired in Australia had been helpful. But even without that, our organic growth was 9% in security, and again, I believe that's taking share on what you're seeing in the market.
Michael McGinn: Okay. And it's nice to see the NSS margin target came up. The commentary around EES, it sounded a little softer from a macro perspective, but the segment margin target remained the same. Can you give us a little color there? I mean, is there – how confident are you that the second half expectations – do you have enough built-up already in the backlog or visibility to meet those targets?
Bill Galvin: Yes. So first, on the revenue side for EES, as we said, the headwind there has been on the OEM segment, which we think and everyone points to macroeconomic issues in the manufacturing sector, especially in semi and auto. But we've seen good strength in industrial and in the commercial construction business. So we don't see any reason that's going to change right now. So we're doing a lot of things to continue to expand the OEM business into other sectors. So for us, the margin piece of that is related to mix and it is something that we watch closely as different parts of that business accelerate, decelerate. So we're confident in what we put out there, but it certainly is not the layout, if you will.
Ted Dosch: Yes. And I would just add back to, Mike, to your specific question about margin for EES. We did have a strong operating margin for EES in the quarter despite the much lower growth rate than we saw in NSS. That will be heavily influenced in the back half of the year with mix of the business, as Bill just said, between OEM, which, as we've always said, is a higher margin than the C&I portion of the business. But we do think that the target we had for full year is still achievable, even with a somewhat lower top line growth rate. On the NSS side, we're seeing a result of the strong – leveraging the strong top line growth. And again, part of what makes us feel really good about that operating margin improvement is we're achieving that despite the fact that the security side of the business is growing at an even faster rate than the infrastructure and the rest of the business. And again, as we've talked, security has a lower margin profile than the infrastructure side. So we felt it was appropriate to take that NSS outlook for operating margin up based on the continued strength we're seeing through the first half.
Bill Galvin: Michael, one more comment on that too, and I think we've said it in prior calls. The OEM business for EES doesn't run at a higher margin. So the performance on the margin is actually very good, and it's attributed to a lot of the effort we put in on sales tactics and sales strategies to improve margin across the rest of the business.
Michael McGinn: Got it. Understood. And if I could just sneak one more in. This is a little bit of a different question. One of your larger suppliers was recently asked the impact from Huawei. And I believe they're both – Huawei is both a customer and a supplier for them. If the wireless spend 5G initiative becomes more of a nationalistic kind of – take some more nationalistic kind of tone to it, is that a mix-up or market share play for you guys? How do you feel this is progressing in terms of the overall macro standpoint?
Bill Galvin: Yes. No, I'll even broaden that beyond Huawei. It goes to the conversation on security and security products coming out of China that have the same challenge from a nationalistic point of view, Michael. So it absolutely has an opportunity to bring advantage for us in the business as we work on the supply chain. I would tell you that a lot of the business, especially in the 5G piece for us, is broad-based and service-oriented, right. So in some cases, we're supplying the electronics. In some cases, we're not. But we're providing complex services to support the project rollout. So all in all, as long as the investment continues, we see an opportunity to take advantage of that market.
Michael McGinn: You bet. And is there an update on timing for when you expect that market to reach critical mass? Or do we get past these – everyone's trying to figure out the spectrum. When do you see things really taking off from here?
Bill Galvin: Well, I think you're seeing some companies just in this past earnings seasons come out and say they're starting to see strong benefit from 5G investments. So I expect we're going to continue to see that accelerate over the next several years. But as you know, Michael, that's very complex investment strategies and very large capital investments. So to me, it's never as fast as you want it, but I do think we'll start to see acceleration from this point on and reaching probably peak in the next two to three years.
Michael McGinn: All right. Thank you very much. I’ll pass it along.
Bill Galvin: Yes.
Operator: Your next question comes from Shawn Harrison of Longbow Research. Please go ahead.
Shawn Harrison: Good morning, everybody and I congrats on the strong results.
Bill Galvin: Thank you, Shawn.
Ted Dosch: Thanks Shawn.
Shawn Harrison: If I remember correctly, this time last year was when you started to see the larger projects within NSS really begin to accelerate, and so you're beginning to anniversary that. I was hoping, could you maybe talk about kind of the large project backlog within NSS and whether there's any puts and takes in the back half of the year and just how things look like they could shake out?
Bill Galvin: Yes, Shawn, good point. We actually said in the fourth quarter of 2017 that we were going to start to see acceleration in Q1. If you remember, we were a quarter off on that. It was building at that point, and we started to see the results then in Q2, and that continued to accelerate through that. And I would tell you that, on a general basis across the entire NSS business, that is still the case. So we think and continue to see bookings and backlogs strengthen and believe that, that will at least continue for the next several quarters.
Ted Dosch: Yes. And just to reiterate one thing, Shawn. I think I said it earlier, but to Bill's point, we really saw that growth rate begin to take off in Q2 of last year. In NSS in particular, which has half of our overall business then significantly influences the total company growth rate. So as we sit here looking at our first half performance and see a 10.1% kind of two year cumulative growth rate, we feel very good that even though we use words like decelerating growth rates in the back half, it's still going to be about at the midpoint of the ranges we've given, 10.5%, two year cumulative growth rates year-over-year in second half. And a part of that which I think makes that even, I guess, better for the long-term is that a significant part of that growth is really coming from our complex programs, which don't subset like a project that could be a few quarters or even a year. So the fact that the growth rate is driven more by programs than projects bodes well for the continuation of that revenue.
Bill Galvin: And the base grows, right. So the fixed base grows, so all the other growth on project activity is on top of that.
Shawn Harrison: That's helpful. As a follow up, just the C&I growth you saw this quarter, if I listen to Fastenal or Grainger, MSC or whomever, they're citing slowing industrial growth in the business. And so I know you're seeing that in the OEM business, but the commentary also seemed a bit weaker on just a broader commercial and industrial. And so do you think you're taking share in that market? And if so, kind of what factors are driving the share?
Ted Dosch: Yes. I think in fairness, what we're – for instance, in the U.S., we said 4% growth on that business, and that's with OEM in it. I think in that quarter, we took growth. I think if you look at it over a long period of time, it's probably even with the market. But it is project-based, Shawn, so we'll see some puts and takes in each quarter. I think we're going to hold our own, and as that market performs, we'll perform with that. I do think we continue to focus also on efficiencies, though, and investment into the areas of the market we feel like we can get growth. So I'm happy with the performance in a difficult market, but there's other things we can do.
Shawn Harrison: And then just lastly, from a high level, has there been any discussion with the Board in terms of a share buyback program being put in place? I mean great results today. The stock is up a little bit but not significantly over the past 12 months. Earnings are going up, and the valuation is going down. So it's probably a frustration internally, but any thought of a buyback?
Ted Dosch: Yes, Shawn. Here's how we think about it, and it's not significantly different – or I should say it is not different than how we really framed it for the last several years. As we think about our capital allocation strategy, what is always first and foremost as a priority is to fund the organic growth. And with growth rates like we’ve seen here, 8% in Q1, 6% in Q2 and even though it's projected to be a little lower than that for the back half of the year are still significantly higher than, say, in the previous two, three years. So our number one capital allocation priority funding is organic growth, which largely for us means working capital. And we're sitting here today with working capital that's more than $100 million higher than last year at this time, I think about $120 million, which is what really drove the cash usage of over $60 million this year compared to generating over $60 million in the first half of last year. So that is, has and always will be the number one priority. Secondly, we've said funding inorganic growth. And like we said recently, we're not anticipating and don't see that being that next big transformational acquisition but more the bolt-in or – bolt-on or tuck-in like we did last year. And so we still feel we have the capacity to do that as we move forward. So some return of value to shareholders in some form or another is still on that list of the top four priorities from a capital allocation standpoint. But I think we need to be prudent while we're sitting here with our leverage ratio that the EBITDA still – while it's now within the range, it is still at the high end of that 2.5x to 3x range that we've discussed.
Shawn Harrison: Okay.
Operator: And your next question comes from Brian Bernard of Morningstar. Please go ahead.
Brian Bernard: Hey, good morning, guys and a nice quarter.
Bill Galvin: Thanks Brian.
Brian Bernard: Yes, I just had one question for you, and you've kind of touched on it here. But obviously, we've seen some other distributors that are – said they're going to tighten their spending due to softening demand. Now you guys are obviously enjoying strong growth, and you talked about adding heads to support that growth, your innovation, transformational investments, et cetera. But I'm just curious, if the environment were to change, how nimble do you think you can be in terms of adjusting the cost structure if need be?
Bill Galvin: Yes, Brian, I think we've demonstrated in our past the ability to move pretty quickly on a significant change in demand in the market, and I feel like we have – even more so are able to do that today. Because of the strong growth, we still think there are segments in the market that we have an opportunity to invest and grow. We think doing activities to pivot from what we would consider slower growth or markets where we feel like the return is not where we want it to be in the company profile, we feel like we've done a lot of that. Now we need to really make a little bit of investment into growth. And we've been investing in the innovation of digital systems and capabilities for our customers, which is also a part of that. And by the way, as you know, that expands productivity and allows us to continue to grow the business off the same base. So I think we can move pretty quick. And if anything changes, we'll be able to do that.
Brian Bernard: Okay, thank you.
Operator: And your next question comes from Michael McGinn of Wells Fargo. Please go ahead.
Michael McGinn: Thanks for the follow up. If I can just go back to the spending initiative again and the operating expenses, you guys are expecting a ramp year. Can you kind of frame for us what is growth and what is maybe duplicate cost that you're expecting to roll out – roll off after your first ERP rollout, which I believe is scheduled first half of 2020? Is there any framework around that?
Ted Dosch: Yes. So Michael, I suggest you think about it this way. And so remember, in the third quarter, we won't have the year-over-year increase in OpEx due to the acquisition, and that, for the last, say, four quarters, has been the single biggest driver of dollar increased spend year-over-year. We only had about $5 million of increased spend in Q2 of this year in our innovation and business transformation. And on our fourth quarter call and in our first quarter call, we framed that more as something in the range of $7 million to $8 million a quarter. So again, this is a big project, and that spend can be a little lumpy from quarter to quarter. We still expect to get to that same kind of full year number but a little more in the back half than in the first half, just the way the project work had come together. So as we go forward from here, we now expect the investment in innovation and business transformation to be the single largest driver of the growth, followed by the spend to support the volume growth, which sequentially, most of that spend is in there other than what we talked about now having to do with some investment in head. So if you think about the variable cost to support that volume growth of warehousing and freight, et cetera, that's already in our Q2 run rate. But spending – investing in some head count and so forth, that will be incremental going forward. Thinking of 2020, though, again, we are implementing this new system as a pilot in a relatively small part of our business to mitigate or minimize risk associated with our moving to the cloud and some significant business process change. So we will drive savings in that part of the business, most likely not starting to the back half of 2020. But keep in mind, that's only in a relatively small part of the business for next year.
Bill Galvin: And long term, we said $40 million to $60 million of cost savings as of the late – when we fully ramp that up throughout the couple of years after 2020.
Michael McGinn: Okay. And then lastly, there's been some big announcements in terms of wind investment here in the Northeast Corridor. I was wondering how you guys are positioned from a T&D spend standpoint. Short-term, long-term, anything you can give there?
Bill Galvin: Yes. Renewables, both wind and solar, are a strong, say, customer vertical of ours within our EES business. So we have participated in a significant portion of those projects historically. I can’t speak specifically to projects you might think of in the northeast right now, but we do continue to have a strong position in that area.
Michael McGinn: Great, thanks.
Operator: And we do have a follow-up from Shawn Harrison of Longbow Research. Please go ahead.
Shawn Harrison: Hi, again. Just a theoretical question, not looking you to guide 2020. But if you were in a low single-digit growth environment in 2020, considering the investments that need to be made for kind of the digital, the new ERP system, the ongoing transformations, would you still, in a low single-digit organic environment, be able to deliver 1.5x EBITDA leverage? Or is there an incremental cost step-up next year that we need to consider?
Ted Dosch: Yes, Shawn, that's a great question. So let me try to frame it for you this way. As we said, here in Q2, we had exceptionally strong leverage with this kind of volume growth combined with gross margin improvement and OpEx leverage that we delivered a 3x-plus leverage, higher than we've ever done before as a company. But as you think about different ranges of growth, if we were operating or delivering, say, low single-digit top line growth, I would expect us to be able to have operating margin leverage in the 1.25 to 1.5 range. If we're, say, mid single-digits, I'd expect us to be able to – on an ongoing basis, to be more about 1.5. And if that top line growth is high single-digits, then I would expect that operating margin leverage to be more in the 1.5 to 2 range. So I think our business model is such that we can do that. And also, back to our investment in innovation and business transformation, I would not expect to see any significant year-over-year growth in that spend next year. We will still have that project spend continuing through next year. But unlike this year, when it's a significant increase in spend versus 2018, it should not be any significant increase between 2019 and 2020.
Bill Galvin: So I'd also add that we continue to focus on operational efficiencies that will help us continue to drive that leverage. So we're not done. There's still many things we're working on to drive efficiencies in the operation and facilities and many other costs that we think we have opportunities to improve on.
Shawn Harrison: That’s great, guys. Very helpful.
Bill Galvin: Thanks Shawn.
Operator: And we have no further questions at this time, so I will turn the call back over to the presenters.
Bill Galvin: Thank you. That concludes today's call. If you have any additional questions, please don't hesitate to reach out to Kevin. As always, thank you for listening to today's call.
Operator: And this does conclude today's conference call. You may now disconnect.